Operator: Good day everyone and welcome to the Global Ship Lease 2012 Conference Call. This call is being recorded. Joining us on the call today are Ian Webber, Chief Executive Officer and Susan Cook, Chief Financial Officer. We will conduct a question-and-answer session after the opening remarks and instructions will follow at that time. I will now turn the call over to Mr. Webber, please go ahead sir.
Ian J. Webber: Thank you very much. Good morning everybody and thank you for joining us today. I hope you’ve been able to look at the earnings release that we issued earlier on and have been able to access the slides that accompany this call. Slides one and two remind you that the call today may include forward-looking statements that are based on current expectations and assumptions and are, by their nature, inherently uncertain and outside of the Company’s control. Actual results may differ materially from these forward-looking statements due to many factors including those described in the Safe Harbor section of the slide presentation. We also draw your attention to the risk factors section of our annual report on Form 20-F, which we filed in April of this year. You can access this via our website or via the SECs. All of our statements are qualified by these and other disclosures in our reports filed with the SEC. And we don’t undertake any duty to update forward looking statements. For reconciliations of the non U.S. GAAP financial measures to which we will refer during this call to the most directly comparable measures calculated and presented in accordance with GAAP, you should refer to the earnings release that we issued earlier today, which is also available at our website www.globalshiplease.com. I will start by reviewing the third quarter highlights and then discuss our charters and after some comments on the industry overall and details on our recently obtained bank waiver. I’ll turn the call over to Susan for comments on our financials. Finally, after brief concluding remarks, we’ll open the call out for questions. Slide three shows the third quarter highlights. We don’t generated strong financial results during the third quarter, as a challenging market conditions for the container shipping industry have less of an impact on Global Ship Lease due to our long-term charter coverage. As discussed on our Q2 earnings call, we renewed charters for two ships that expired in September, consistent with our business model of operating our entire fleets of 17 vessels on fixed rate charters. With the new charters in operation, we continue to achieve a strong utilization and stable predictable cash flows. For the third quarter, we reported revenue of $39.5 million and adjusted EBITDA of $26.9 million both up from the third quarter 2011, from improved utilization which was 99.2% for the quarter. The improvements is mainly from 47 days less offhire during the current quarter and the prior period from fewer planned in drydockings. As we have previously discussed on average, we lose approximately $300,000 in revenue for each drydocking with the further approximate $1.3 million of cost per vessel that most of which indeed is capitalized on inventories. In the coming years, we will continue to see a positive impact on our results in cash flow as we’re scheduled for only 3 drydockings in 2013, two in 2014 and none in 2015. This compares to six both this year and last year. Our strong cash flows have enabled us to further strengthen our balance sheet by aggressively repaying debt. In the third quarter, we reduced the outstanding borrowings under our credit facility by $23 million and since the fourth quarter of 2009, when we started to repay debt, we’ve repaid a total of $162.3 million. With net bank debt at September 30, 2012 up just over $407 million on a trailing 12-month adjusted EBITDA of $105.4 million. And net bank debt to adjusted EBITDA was 3.9 times at the end of the quarter. While we’ve made significant reductions in the amount outstanding under our credit facility. The downturn in the container shipping market particularly effecting owners, continues to weight heavily on asset values. Given this reality, we proactively initiated discussions with our bank group and have agreed that the loan-to-value test required by a credit facility will be waived for two years. I’ll talk more on this shortly. Slide four shows an overview of our financial results for the last 19 quarters. The base or the bottom of that page our performance correlates with the graph about the time charter index, which is designed to indicate the hope or not of the spot charger market. As you can see, there has been much volatility in the time charter rate index. The financial crisis, an onset of the global recession in 2008 have negative effects on the rate of demand growth for our industry while supply continue to grow strongly. With the exception of 2010, which saw an unexpected surge in demand, there has been an excessive containership in capacity and this combined with continuing uncertainty about the global economy has created uncertainty in the industry. That said, despite the volatility of the market, Global Ship Lease results have remained consistently strong, illustrating the robustness of our long-term leasing model through the cycle. Our fixed rate charters on which the fleet operates provide us with predictable revenue, EBITDA, operating income and cash flow on a quarterly basis, having adjusted for one-time impairment charges relating to our contracts to purchase two new buildings, which were booked in two quarters. The main driver of the variation in our financial performance quarter-to-quarter, which we mentioned before is from off-hire days primarily as part of our planned drydocking schedule. And as I’ve noted earlier, this will have less of an impact over the coming years. Turning to slide five, I’ll provide a brief overview of our fleet and charter portfolio. We have relatively young fleets with an average age of 8.6 years also an economic life of 30 years. More importantly we have significant charter coverage as you can see which enhances the stability of our operations. The remaining contract term of our 17 charters is 7.6 years on a GU weighted basis representing $1.1 billion of contracted revenue. Part of the strategy, where we created Global Ship Lease was to negotiate a staggered expiration of our charters. As we believe this is very beneficial to the company and its shareholders overtime given the cyclical nature of our industry. You can see in the bar graph how these expirations play out over the next 14 years. The charters with Ville d’Orion, and Ville d’Aquarius were renewed to CMA CGM in September albeit at a lower daily rate reflecting the softest spot markets and the schedule to expire in May of next year. But typically chartering activity accelerates during the second quarter, when these two charters expire as minor companies configure their fleets in preparation for the peak season. Other than for these two vessels, which currently represent only 5% of total revenue, we have no charter expirations until late 2016 with the last of our current charters scheduled to expire only in 2026. Now a few words on the market. The main messages much the same as those from the second quarter call. Slide 6 shows continuing improvement through 2012 in freight rates, in various trades from General Rate Increases or GRIs, which have been successfully implemented by the line of companies that we’ve illustrated pricing discipline in the phase of our surface capacity. The Asia-Europe index has slipped back in the last few months probably due to weakness of the peak season and the consequent slowing of exports house in China. It’s worth noting however that these indices represent spot cargo rates. Most carriers will have a proportion of their listings covered by annual contracts with preset rates, which provide some insulation from volatility in the stock freight market. Our further GRIs are scheduled for the fourth quarter. The General Rate Increases have clearly had a positive effect on the operators, we’ve generally had a reasonable second quarter and for those who have reported so far a good third quarter. Our customer, CMA CGM has not yet reported Q3, but in Q2, they reported a 12% increase in revenue over the prior period in 2011, driven by an 8% volume improvements and 4% higher average revenue per TEU, by where EBITDA of $460 million for the quarter, represented an EBITDA margin of 11%, which is among the best, if not the best in the industry. Net profit was $178 million. Looking at the third quarter, as an illustration mask line for example have reported improved results, where EBITDA and net income were up approximately $800 million from the prior period in 2011, but a $932 million for EBITDA and $498 million net income. The chart on slide six also shows a time charter rate index, which is trending down since the middle of the year due to an excess of vessel supply. The GRIs as we mentioned before for freight have been imposed despite this oversupply simply because of the pricing discipline exercise by the carriers. With 15 of our 17 vessels on charters that extent to at least at the end of 2016, we’re insulated from short-term weakness in the spot charter market. We are on CMA CGM as ever, we can’t speculate on the current position or financial strength. However, as I just noted, they posted strong second quarter 2012 results. They also confirmed in that quarter two announcements a forecast of an overall profit for 2012. Furthermore and recently they’ve announced on October 16 that they had entered into a Memorandum of Understanding with Fonds Stratégique d'investissements, the French State Infrastructure Fund or FSI for an injection of a $150 million of new capital. They also announced agreement for a further $100 million investment by Yildirim, a Turkish investor. As CMA CGM’s press release stated “this quite demonstrates FSIs and Yildirim confidence in the CMA group’s future”. CMA continues to pay charter hire in full and is never sought to renegotiate the terms of our charters. Only one period of hire due on November 1 is outstanding, which maintains the position we reported on the second quarter call and represents an improvements over previous years. Moving on slide 7 and 8 show overall supply and demand with some sub-analysis into the main trade lanes and vessel size categories. Slide 7 shows supply and demand fundamentals since 2000 together with low GDP growth and again an index of the time charter markets. Forecast of demand growth for 2012 continue to be marked down as the year develops and now stand at 4.8%. Supply growth, which is easier to forecast remains at 6.7%. The forecast for both demand growth and supply growth for 2013 have also been marked down a little with forecast supply growth now slightly exceeding forecast demand growth. Remember however that GSL is significantly insulated from the vigorous of the short-term charter market due to the high level of charter coverage which continues to support the generation of the strong cash flows pretty much irrespective of market conditions. The macro picture beyond 2013 should look better with an order book that continues to shrink as deliveries outstripped new orders. Not shown on the slide, but the order book is now $3.6 million TEU representing approximately 22% of standing capacity, which is the lowest order book to fleet ratio since 2003. As the order book continues to be skewed to very large containerships the midsize segment does seem to us to be proportionally under build with a relatively small order book. And this represents the majority of ships deployed in the faster growing trades. 2000 TEU to 5000 TEU vessels represent only 18% of the order book while accounting for 38% of capacity on the water today. And those that all but two of the Global Ship Lease vessels are in this size range and we are hopeful of a proportionately greater recovery in asset values and charter rates in due course. Slide 8 shows that the fastest growing trades continue to be the north-south non-mainline east-west and intra-regional trades such as intra-Asia. Although with growth rates again revised down from the last quarter these trades represent around 70% of global containerized trade and tend to use the small or medium size vessels I’ve just been talking about, such as 4100 TEU vessels which is the only two vessels in our fleet which we expose to the charter market during the next four years. Before turning the call over to Susan, on slide 10, I would like to provide you with details of the recent waiver we obtained from our bank group from the upcoming loan-to-value test scheduled for November 30, so later this month. As you all know, the loans have valued covenants in our credit facility requires that the ratio of outstanding borrowings to the aggregate charter free market value of the secured vessels cannot exceed 75%. As I mentioned earlier and as we have discussed on previous calls, the global economy and excess supply of ship capacity continues to weigh on asset values. We believe that it is likely that our loan-to-value ratio would exceed 75%, if tested at the end of November, despite our aggressively repaying debt. With this in mind, we proactively approached our bank group and in an increasingly tough bank market, pleased to have agreed with them to a further way that’s required test for two years with the first scheduled test to be as of December 1, 2014. The waiver became fully effective yesterday. We consciously sort a reasonably long waiver period to get the greatest certainty in an uncertain environment and thus create flexibility going forward. We can always approach our bank group again should circumstances changed during that period. During the waiver period, the fixed interest margin to be paid over LIBOR will be 3.75%, up slightly on that previous margin of 3.5% due to the much tighter conditions in the bank market. Prepayments continued to be based on cash flow, again subject to our $40 million minimum on a rolling 12-month basis and dividends on common shares cannot be paid. With the waiver, we have no exposure to the volatility on asset values and we will be able to utilize our cash flow to further delever the balance sheet. With no need to address loan-to-value for two years, we will place to take advantage of capital markets, if appropriate at the time of our choosing and without our banks against the whole. We do not need to raise capital to deal with loan-to-value in the next two years. Additionally, we’ve agreed with our banks to our permanent amendment to the credit facility, such that all secured vessels will be included in the next loan-to-value test, whether that subject to a charter or not; previously vessels without charters would be excluded from the total value amount used in the loan-to-value ratio. This change is particularly important as we now have two vessels in the short-term market. I’ll now turn the call over to Susan.
Susan J. Cook: Thank you, Ian. Please turn to Slide 11 for a summary of our financial results for the three months ended September 30, 2012. We generated revenue of $39.5 million during the third quarter 2012. As all of our vessels continue to operate on fixed rate charters. This is up slightly from revenue of $38.7 million for the comparative period in 2011, due mainly to improved utilization from 47 days less offhire in the 2012 period rising from fewer planned drydockings. Utilization for the third quarter of 2012 was 99.2% versus 96.2% in the third quarter 2012. New charters on two of our vessels commenced in September each as a rate of $9,962 per day. These charters expire in May 2013. Those 0.5 million prior to the charters commencing and no repositioning costs were incurred. During the third quarter, we completed our fifth drydocking for the year and anticipate the completion of one more drydocking by the end of 2012. However, we only have three in 2013, two in 2014 and none in 2015. With the light of drydocking schedule, our results over the next three years will be less affected by planned offhire days. Vessel operating expenses were $11.2 million for the third quarter 2012. The average cost per ownership day was $7,159 down $249 or 3.4% on $7,408 for the rolling full quarter ended June 30, 2012. Increased spend on repairs, maintenance and supplies will offset by benefit during the quarter from exchange rate movements on costs denominated in euros, fewer insurance deductibles and lower expenses related to drydockings. Our interest expense, excluding the effect of interest rate derivatives, which do not quality for hedge accounting, for the three months ended September 30, 2012 was $5.3 million. During the third quarter, the Company’s borrowings under its credit facility averaged $459.8 million. The average amount of preferred shares outstanding throughout the period was $45.7 million of the $3 million of these shares were redeemed on July 23 with the proceeds from warrants exercised in 2008 and which could only be used for this purpose; total average borrowings during the period was $505.5 million. The company’s derivative hedging instruments resulted in a realized loss of $4.6 million in the three months ended September 30, 2012 for settlement of swaps in the period as current LIBOR rates are lower than the average fixed rates. Further, there was a $1.5 million unrealized gain for revaluation of the balance sheet position given current LIBOR and movements in the forward curve for interest rates. At September 30, 2012 our interest rate derivative totaled $580 million against floating rate debt of $481.7 million, including preferred shares. As a consequence, the Company is over hedged which arises from accelerated amortization of the credit facility debt as well as not incurring additional floating rate debt which have been anticipated to be drawn in connection with the originally intended purchases of the two 4,250 TEU vessels at the end of 2011. $253 million of the interest rate derivatives at all of a fixed rate of 3.4% will expire mid March of 2013, meaning that we will be paying at floating rate based on LIBOR on the un-hedged portion of our debt enabling us to take advantage of what we expect to be a low interest rate environment. The expiry of these swaps assuming LIBOR of 0.5% will mean that interest expense will decrease both things equal by approximately $5.9 million in 2013 from mid-March. In addition, there will continue to be interest savings from lower overall debt as amortization continues. Net income for the third quarter was $8.3 million, which includes $1.5 million non-cash interest rate derivative mark-to-market gain. For the prior year quarter, we reported a net loss of $0.9 million after $6.1 million non-cash interest rate derivative mark-to-market loss. Normalized net income adjusted for the non-cash items was $6.9 million for the three months ended September 30, 2012 and $5.2 million for the comparable period last year. Slide 12 shows the balance sheet. Key items as of September 30, 2012 include cash of $29.3 million, total assets of $907.8 million, of which $865.4 million is vessels. Total debt of $481.7 million including the preferred and shareholders equity of $358.4 million. In addition, the balance sheet position of our interest rate swaps was a liability of $40.2 million. Turning to slide 13, the main items to mention in are cash flow; cash provided by operating activities of $25.3 million in the third quarter, capitalized expenditure on drydockings in the quarter was $792,000. And finally, as Ian mentioned earlier, we’ve repaid $23 million of our credit facility in the quarter, giving us a $162.3 million reduction in debt since commencing amortization of our credit facility balance in Q4 2009. I would now like to turn the floor back to Ian for closing remarks.
Ian J. Webber: Thank you, Susan. To conclude Slide 14 shows some of the highlights of our business model and how we are well positioned to continue to provide values for our shareholders over the long-term. I’m going to split my remarks into two sections firstly on GSL as a company and secondly on the industry. For GSL, we’ve got long-term charter coverage about 7.6 years on average $1.1 billion of contracted revenue. We have a stronger counter party with improved Q2 financial performance and an announced $250 million injection of additional equity. We generate substantial cash flow even with two vessels Ville d'Orion and Ville d'Aquarius in the spot market. We are deleveraging rapidly, our net debt-to-EBITDA is under four times as of September 30, 2012. With our tank waiver, we’re insulated from volatility in asset values for the next two years and I suggest for those considerable uncertainty about talented values against developed at least through 2013. There is no financing or refinancing risk for GSL until the end of 2016. But all of this creates an inventory stable platform from which we could access the capital markets, but if and when appropriate. For the industry overall, we’ve seen better results and also the line of company sector, their financial performance is improved. They’ve maintained pricing discipline, they’re driving freight rates up in the main freight lines around the world. The order book is low and shrinking in a capital constrained environment. Slow steaming has become embedded and this together with increased scrapping and the low order book will hasten a return of the decent supply-demand dynamic. So with those concluding remarks, I would like to hand the call back to the operator who can explain the Q&A process.
Operator: Thank you. (Operator Instructions) Your first question comes from Mark Suarez from Euro Pacific Capital. Please ask your question.
Mark Suarez – Euro Pacific Capital: Good morning guys. 
Ian J. Webber: Hello Mark. 
Susan J. Cook: Good morning.
Mark Suarez – Euro Pacific Capital: I have a couple of questions. First of all, I mean you’re going to have set design next year, have you got any sense on CMA CGM at this point, whether you can reach, re-extend that contract without any significant repositioning expenses and that sort of thing? And what’s your sense, I know it’s very difficult to predict, but what’s sort of your sense, given that we might see additional vessels coming to the market next year or what sort of charter rates we should be looking for?
Ian J. Webber: A good question, Mark, thank you. I’m going to disappoint, it’s not really there, it’s a long switch. Those vessels are fixed until the end of May, they can be redelivered as earlier the May 1, at charterer's option. And the charterer is required to give a 60 days notice. So we won’t find out the exact redelivery date until March. And really and until then we wouldn’t intend having discussion with CMA about expanding those charters, that’s alone talking with any other potential charters. As the rates it’s very difficult to forecast what the rates are going to be next week or next month let alone in Q2 of 2013, but our sense is that some (inaudible) may continues to be negative pressure on rates at least these vessels are coming into the market potentially, at the time when the chartering market is seasonally strong. As we said, when the operators are configuring our fleets for the busy rest of the year and we were quite careful to design the exploration of these charters to accommodate that.
Mark Suarez – Euro Pacific Capital: Got it, gotcha. And now turning on to the S&P market I know we’ve been talking about this for the past I’d say two calls, I know last quarter the market has been very sticky and it really hasn’t moved anywhere. Have you had any sense of any increased activity through this quarter any activity seen in the S&P market that would point to a more positive texture come 2013?
Ian J. Webber: No that the S&P market is still pretty thin, there is not a lot going on much or what’s happening we access to be distressed. We have couple of transactions that have been occasioned by the owner typically a German KG household companies not being able to fund a dry-docking and special survey and effectively being forced to sell ships and just before the 15 birthday. So it’s really difficult to pickup on trends. But again I have to say that pressure is currently downwards and is that because of the state to the market or is it just a seasonal effects, it is really difficult to tell. We are hopeful of S&P activity and charting activity will pickup at least in early in 2013.
Mark Suarez – Euro Pacific Capital: Got it and now assuming that asset values like you said remained flat I mean that you don’t see any significant improvements come 2013 and assuming sort of a similar rate of debt repayment that we have seen through the beginning of the year. Would there be an opportunity to maybe test the loan to asset value ratio with your bank lenders before December 2014, in other words where you could find yourself that you have (inaudible) that you feel comfortable with it assuming the rate of debt repayment and like I said everything else is equal?
Ian J. Webber: Yeah, absolutely. We are not ruled out that possibility and we’ve got great relationships with our bank group and we are pleased that they supported us. And if indeed circumstances change from a combination of debt paid down and improved asset values then we are confidence of passing a test then there is nothing to stop us coming back to our bank group and asking for further amendment that article cost us a small fee but that maybe the cost we’re cutting.
Mark Suarez – Euro Pacific Capital: Got it, okay. That’s all I guess now. Thanks for you guys.
Ian J. Webber: Thank you.
Operator: Your next question comes from Chris Snyder from Sidoti & Co. Please ask your question.
Chris Snyder – Sidoti & Company: Good morning guys.
Ian J. Webber: Hi, Chris.
Chris Snyder – Sidoti & Company: Good afternoon over there maybe, do you still see that in the recent in the Latin American trade routes are the biggest growth drivers for volumes in the segment size segment?
Ian J. Webber: Well more generally it is the north-south and intra-regional trades and not necessarily just Latin America and intra-Asia and trades into the Indian subcontinent, Australasia, north-south trades, North America, South America all of those trades often with an emerging economy at one end of it or the other are showing more of our preference we showed on slide eight in the presentation. The trades which have been negatively affected I guess in recent times within the main east-west trades particularly Asia, Europe where slide eight actually shows potential footprint traction in 2012 where normally you would expect that trade lines to be great. So it’s across the board in the smaller trade lines since represent around 70% of total carriage and that is why those small, medium size ships are deployed. And we are continuing the same sector that we think is potentially under supplied because the order book is low, where we hopeful disproportionate positive bounce to asset values and charter rates in the near or medium term.
Chris Snyder – Sidoti & Company: Great, it seems like all the order books are for the big vessels, so these like Panamax mid-size one shouldn’t be the value shouldn’t be hit as hard by all this oncoming capacity in 2013?
Ian J. Webber: Yeah that’s right I can’t remember what the percentage is.
Chris Snyder – Sidoti & Company: It is almost like 80.
Ian J. Webber: But the vast majority of the order book is for big ships. That was another [trade] that many of the small medium size ships are actually chartered by the stock market and that’s seasonally weak right now. So I don’t think we are getting necessarily a true picture of what is going on.
Chris Snyder – Sidoti & Company: Okay. 
Ian J. Webber: They are under build, but they are very flexible, they can be deployed pretty much anywhere in the world other than the big trades whether on economic on a unit cost basis.
Chris Snyder – Sidoti & Company: Yeah, the next question is on so when those operators trying to spike up the freight rates. We didn’t really see much of a boost in the charter rates. And now that it seems like those freight rates are coming back down, do you expect charter rates to be still somewhat insulated from that or do you think what we’re going to see continued downward pressure on these?
Ian J. Webber: That’s an interesting question. On the face of it both markets both the freight rate markets and the charter markets, the short-term charter market are driven by the same patterns, demand for container shipping services and the supply of container shipping capacity. And for sure we talk about the charter markets with an incredibly diverse and spread of owners, hundreds of owners of ships and 6,000 container ships, the market is if not perfect I think close to perfect and it’s very difficult for pricing disciplines to be maintained. So the small charter market really is a proper market, its supply and demand is negotiation. Contrast that with the freight market which traditionally has moved that way as well, but in 2012 as we know the carriers, I think they’ll fed up losing money and they were able to exercise pricing discipline starting off with Asia Europe. And they’re only eight or nine carriers of significance in that trade, so it’s much easier for pricing discipline to be achieved, I would suggest. And therefore there has been a disconnect between the way the freight markets have moved and the way the charter markets have moved. Let’s hope that continues, let’s hope the carriers continue to be able to maintain prices, let’s hope that they can implement further GRIs that they’ve planned for the fourth quarter, and therefore that they will end 2012 stronger than they started and let’s hope that continues through 2013, let show that they can do it. So what why not for the rest of 2013. 
Chris Snyder – Sidoti & Company: Yeah, and then my last question, I know just kind of touched upon with the Mark. Do you, does that mean unless there’s significant more of a downturn in the asset values. You guys should able to pass the loan-to-value test well before December 2014. So I was wondering, if this was something that you guys are, like how closely are you monitoring this and how willing are you guys, will you guys be to try to negotiate the way to pass that before them? 
Ian J. Webber : Well, it’s one of our top priorities, we’ve been monitoring asset values very closely, but that’s sort of how we knew, we needed to talk to our bank group, because we are expected not to pass November 2012. And for sure that I think I’ve already said Chris, if we get to a position where we’re confident of passing loan-to-value from a combination debt pay downs and improved asset values then it’s our option to go back to the bank group and renegotiate terms.
Chris Snyder – Sidoti & Company: Okay, thank you guys, thanks for answering my question guys, I appreciate it.
Ian J. Webber : Thank you.
Operator: Your next question comes from Zach Pancratz from DRZ. Please ask your question.
Zach Pancratz – DRZ: Good morning, Ian
Ian J. Webber : How are you Zach?
Zach Pancratz – DRZ: Hey, my question is again kind of what the flexibility of the waiver, this is more pertaining to the ability to pay a dividend. From a priority standpoint I mean if you were able to have the LTV before the 2014 deadline where is the priority as far as paying a dividend versus saving that capital to buy a second hand tonnage market obviously is right now as a buyer markets, how cheap asset values are?
Ian J. Webber: That’s an important question. It is a little bit hypothetical domain, but I am trying to answer it. We clearly we understand the importance of paying a dividend, longer term, given the very stable basis of Global Ship Lease. We do want to return to a decent growth, which means fleet expansion providing some display manner and today that we will need fresh capital debt and equity and today that we need to have a track record of paying a dividend. We know that its important not only for the future, but also for current shareholders. And there are speculator buying opportunities we think for second hand tonnage at the moment, its depending on the obvious to have asset values and charter rates evolve over the next few years I mean you can buy 15-year old mid size vessels not much of a scrap value. So the residual value risk is pretty small. As to our priorities now, it would be nice to be able to a little bit about dividend and growth, but lets cross that bridge as when we get to it.
Zach Pancratz – DRZ: Great, and kind of pulling back off of the previous caller, just looking at the correspondence finally you guys did with the SEC. I believe you guys said as of November 30, 2012, your loan balance will be approximately $448 million and had asset values remained where they were in November 2011, you guys would have passed that out to the centers, so now looking at the COGS in second hand price index for 10 year old tonnage, that index has dropped about 30% in that timeframe and then looking at the way you guys paid down debt, about $20 million a quarter, that means you will have roughly $140 million, $160 million off of that $448 million loan balance, which is a 30% drop in that loan balance. So, I think I am relatively in an agreement with the previous callers and as long as asset values don’t fall of a cliff, further you guys should probably be easily able to achieve that LTV covenant compliance. 
Ian J. Webber: I am not sure I followed your analysis completely. We are paying down debt of about $15 million a quarter. I know it was high this last quarter of $23 million that’s because we’ve managed working capital up to that point, so we could manage it little more and CMA have accelerated the payments of charters offer. It’s a big individual repayment in Q3. For loan average, we would expect $15.5 million a quarter under $60 million. So, I will have to go away and look at the numbers, I will get it wrong if I try. 
Zach Pancratz – DRZ: Even if it’s a $120 million over the next two years, with asset values already at both 2009 levels, I mean any uptick from the bottom here would obviously put you guys in compliance pretty easily?
Ian J. Webber: Yeah. Asset values between now and then, they may go down a bit and then start coming up. It turns how quickly they come up. It all depends exactly on our cash flow we’ve got the video in the VDA, those two ships in the stock market. And we’ve got low dry-docking process for the next two or three years those are some timing again in 2016. And don’t forget the ships to getting older and I promised this is sort of negative that are on par and people need to understand, every first day a ship passes it loses 5% of its value on average. And just because it’s older for nothing else, so you’ve got negative pressure over two years on asset values as the fleet ages. Yeah, as I said a couple of times on this call, if we get to the position where we are comfortable that we will pass loans of value earlier than December 1, 2014, it entirely opens us to go back potentially and renegotiate the waiver.
Zach Pancratz – DRZ: Okay. And then just looking at [similar to Jim] obviously the help of the balance sheet has just been improve and the profitability of the business is often through. Have you guys been approached with any options as far as maybe a preferred debt repay to kind of repay your entire balance sheet to be able to give that compliance in earlier. And then maybe be able to access capital to be able to buy these distressed assets at very attractive prices.
Ian J. Webber: Well, that’s the second of the big priorities, not sure which one is higher on the list, but we monitor loan-to-value very carefully and in the state the other priority for us is capital structure. And we talk with many into major investment banks et cetera without opportunities for raising capital. CMA clearly is in better shape than it was, but it is not definitely fixed yet. It still needs as our understanding has concluded its discussions with its bank group, but we are very comfortable with them as our counter party. The forms have traded up, their forms have traded up significantly, which is great to see and that combines with our own stable position now we’ve got immunity from the market of vessels and asset values. It does provide a good platform for us to re-assess capital market opportunities. 
Zach Pancratz – DRZ: Great. And I got to think people would there will probably be some interest for some type of convert or some along those lines that would provide you guys with an opportunity to address and improve your balance sheet and also give you an ability to buy assets. So… 
Ian J. Webber: Yeah, yeah there is also (inaudible) raising capital as I am sure you know. And as I say, it’s a priority of ours and we are committed to sorting the balance sheet out, had a time in a manner, which is to the benefit of all shareholders. 
Zach Pancratz – DRZ: Okay, great and then just lastly kind of an industry question. We’ve seen ideal capacity move to roughly 4% right now and there is probably only a handful of assets in that ideal capacity, that are above 500 TEU. So, the majority of them are relatively smaller assets probably giving effective cascading, now going forward, how do you see that playing out? Do you see some of these smaller assets that are maybe ideal right now never been able to return to the market and kind of just being scraped away or does that just a lever to pull when demand improves given the week order book right now all these assets will probably reach the water again at some point. 
Ian J. Webber: Yeah, you are right. The auto fleet is increasing, but it is nowhere the levels that we saw at the end of 2009, which is pleasing. And you are right, the majority of units are slow although there are. There are some big ships idle today as well. Mainly up being idle by the carriers themselves rather than [owners]. As to our they weren’t going to return to the market, probably not, many of those small medium size ships are owned by German owners, who may not have the financial (inaudible), a special survey was needed or indeed pay the reactivation costs to get the ships tradable again. So, there maybe scrapings from there. And you’ve actually reminded me of a point I wanted to make earlier, which is the Cascade. As we all know, big ships being delivered as to the hours get fed into the big services as she goes in the TransPacific and they fought out smaller ships you have down the system and it sort of got stuck at the 4000 TEU size, just when the industry went into the seasonal downside and at sort of Q3 time. And I think that that has sort of forced more idle units in the small mid-size range than might otherwise be the case. And at Mayday, this is not a forecast it is an observation. It (Inaudible) that as the line of sector builds up it’s capacity from Q2 next year and re-organizes its services the cascade accommodates more of these midsize ships and actually provides further stimulus to asset values and stock charger rates.
Zach Pancratz – DRZ: That’s helpful. Thank you, Ian. 
Operator: Your next question comes from Steven Schuster from Bridge Street Asset Management. Please ask your question. 
Steven Schuster – Bridge Street Asset Management: Good afternoon Ian, how are you?
Ian J. Webber: Steven, we are well. Thank you. 
Steven Schuster – Bridge Street Asset Management: Good. My question sort of going along the same lines with some of the previous questions, but I’m just going to recap a little bit. The stock has reacted negatively to today’s announcement and my guess is that, it’s based on the perception that a two year waiver on the loan-to-value test means that no dividend is likely for the next two years and I just there is I guess two ways to cure the loan-to-value problem, one is through the organic debt pay down, sort of what we’ve been doing for the last 3.5 years. And then the other is a capital market solution. And last year, there were some guidance to what our loan-to-value would have been, somewhere with 75% to 90%. I’m just sort of wondering how close we are right now and what type of number are we talking about if we wanted to do some type of capital market solution like high yield note or whatever? How close are we, how big is this issue would we have to deal?
Ian J. Webber: Well, it’s also not trivial. Otherwise we wouldn’t have sort away from that banks, but for two years. But let me talk about this for two year period, it was really important to us as a management team and we appreciate and appreciate that the investment community may not look favorably on enunciated a waiver for the very reason that you articulate, but it was very important for us and the borrowers to get as longer period of insulation from asset price volatility as possible in the circumstances. Yeah, we actually tried to get the leverage ratio removed from the credit facility completely, but the banks weren’t having any of that probably as recently. If we have not gone for two year waiver, the next test logically would have been at the end of April 2014; that’s a sort of beginning of a stronger period that not necessarily a strong period in asset values and not we did not want to do, this applies to go back to the banks early in 2014, but yet another waiver, so a waste of management time and a waste of money, because we would have to pay further fees. And as we said before, the asset value has improved and if we can reduce debt either by organic cash flow or from that plus incremental capital raised, then we can always go back to the bank and certainly if we’re going out and raising incremental capital, then that’s a marvelous opportunity for us to go and reopen discussions with our banks. I don’t think we need to pay down every last dollar to get us to below 75%, I think there is some middle ground, but we might be able to reach the bank group, but let’s not speculate this to where that would be and how much we need to raise. We got to adjust for this waiver today and we need a little period of reflection on what we can achieve over the coming months. But we’re already focused on trying to resolve this, we need some help from the market, that container shipping market and we need some help from the capital markets, but the company itself is extremely well placed to take advantage of the capital raising opportunities if there are (inaudible) for us.
Steven Schuster – Bridge Street Asset Management: And by appropriate we are not talking about some highly diluted secondary share at $2.
Ian J. Webber: I would have thought so the way you (inaudible).
Steven Schuster – Bridge Street Asset Management: Okay, so I just want to we have $500 million shelf that’s in place that you would be ready to act if you got the opportunity to act, is that correct?
Ian J. Webber: Yeah, yeah, correct.
Steven Schuster – Bridge Street Asset Management: And then the objective when one of the prior questionnaires would be then that you answer maybe do a little bit above paid a dividend and a little take advantage some of the distress assets?
Ian J. Webber: That is one possibility. We just don’t know right now for sure there are we think investment opportunities in the (inaudible) tonnage but certainly we want to return to paying a dividend by and large as soon as you can.
Steven Schuster – Bridge Street Asset Management: Okay.
Ian J. Webber: And so it should start with the bank group and (inaudible) something out with them most likely.
Steven Schuster – Bridge Street Asset Management: Okay, so then if someone really put gun to your head the dividend is would be the dividend wins that’s the priority.
Ian J. Webber: In depends on the circumstances on the of the time Steven.
Steven Schuster – Bridge Street Asset Management: Okay. All right.
Ian J. Webber: Great. We cannot pay a dividend at that moment unfortunately we made to have an opportunity to renegotiate terms with our bank group our Suggested will be on the back of improved loan-to-value either for market recovery and assets plus organic debt pay down out of our cash flow will assisted debt pay down was some sort of capital is. But we don’t want to ignore the opportunities regarding the business, significant which obviously made on investing relatively small amounts of money in small, medium size over tonnage.
Steven Schuster – Bridge Street Asset Management: Understood, okay, thank you.
Operator: (Operator Instructions) Your next question comes from Michael Demaray from Elevated Capital. Please ask your question.
Michael Demaray – Elevated Capital LLC: Good afternoon Ian, Susan.
Ian J. Webber: Hello, Michael.
Michael Demaray – Elevated Capital LLC: Let’s say, I’ve got, I wanted to go back and touch on something with the, you mentioned that you had you are in constantly discussion with investment banker, not about ideas to recapitalize the company, did the recurring waiver have come up with an issue I mean what this two year do you believe that this two year window will buy benefit in that area?
Ian J. Webber: Yeah, we do believe it cost us benefit.
Michael Demaray – Elevated Capital: Okay, excellent. And then I noticed, since we don’t have the amendment in front of us, I noticed that you switched to $40 million minimum rolling 12 month feature, what would allow you to do and maybe why did you make that change?
Ian J. Webber: It’s not obviously a change. We didn’t bring the close attention for the last waiver and we felt it important that we are getting out. 
Michael Demaray – Elevated Capital LLC: Okay.
Ian J. Webber: So its cash fleet, which will pay you more than $40 million in the ordinary cause. But for the bank owned protection they want to make sure that we repay at least $40 million on a rolling 12 month basis. 
Michael Demaray – Elevated Capital LLC: Okay. And then back to…
Ian J. Webber: It does give us a better flexibility for working capital lower estimate. 
Michael Demaray – Elevated Capital LLC: Okay, and happens to be the $40 million is the fixed level of amortization $10 million a quarter if you were in compliance with loan-to-value. Okay, whether no longer comes from it.
Ian J. Webber: That’s where that wants to come from it. We have to payback to them in on any way 
Michael Demaray – Elevated Capital LLC: All right, just I wasn’t sure, if you could prepare $40 million in the beginning and you have negotiate, in negotiation later about purchasing vessels or something with the excess cash?
Ian J. Webber: Well, there’s always a possibility. 
Michael Demaray – Elevated Capital LLC: Okay.
Ian J. Webber: We have to go back to the banks and talk to them about it.
Michael Demaray – Elevated Capital LLC: All right, and then last question I have is regarding the correspondence with the SEC for giving probabilities with passing the LTV, hey, do you expect to continue to do that for your agreement with them and if so would we see that in the 20 April or we also see in the quarter [leasing] case?
Ian J. Webber: You have to remind me other question because we have a couple of strengths of questions with the SEC, which one is this specifically?
Michael Demaray – Elevated Capital LLC: I think this is one where they asked for more detail around the probability of passing…?
Ian J. Webber: Okay. Yeah that one, yeah, accounting rules as ever full of double or triple negatives and if we have to that the English answer is that if we don’t think we are going to pass loan-to-value of the next test and this within this 12 months we have to show that was current.
Michael Demaray – Elevated Capital LLC: Okay.
Ian J. Webber: And they wanted to know why the December 31, 2011, we felt we were going to pass the test of November 2012, which we answered with quite effectively but that Zach read out.
Michael Demaray – Elevated Capital LLC: Right.
Ian J. Webber: Because at the time, there was no reason, but why it is there’s no reason to believe when you went pass, but for sure going forward, we will a little bit more narrative in our interims and in the full year financials as to why we are treating debt the way treating the debt the way we are treating it. 
Michael Demaray – Elevated Capital LLC: Okay, that’s helpful. Thank you.
Operator: Your next question comes from Ross Taylor from Somerset Capital. Please ask your question.
Ross Taylor – Somerset Capital Advisers LLC: Okay, well. My daughter has taught me that you should never ask questions that have been asked. So I want to ask questions, hence pretty much everyone has been asked. One thing I will say is we agree with the thought process that its important for the company to explore perhaps non-traditional ways to get back to where we can pay a dividend. I mean success for equity inventors in this company is only going to recur, when you guys are back paying a dividend. I think it’s pretty clear, I think you understand that as well as all our shareholders understand so whatever you can do, whatever shareholders can do the help you get to that position I think something that we need to be focused on over the next 12 months or so
Ian J. Webber: Absolutely. We understand that very clearly. Its disappointing that we haven’t been able to do anything so far, but believe me, its not the lack of effort. We value the support from our shareholders and appreciates it. We are shareholders too and we want to regularize the situation as soon as we possibly can and take the company forward. Just we’ve got as I said in the number of times a great platform here, the contracted cash flows, good counter party, etcetera and we want to take advantage of opportunities as they reconciles to. So we really are looking at also should lucky ways of recapitalizing, sorting out balance sheet, talking with our banks etcetera. 
Ross Taylor – Somerset Capital Advisers LLC: As your counter party gets stronger, is there the possibility, is there any interest and the ability to seller ship for a discount to the present value of this cash flows that should generate obviously right now and people are worried about the viability of the counterparty they wont’ pay you down the road for very much money. But this was a situation where that counterparty was seen as quite a good there could be more with a long life contracts, it could be tremendous value to monetizing one of those ships and using that to pay down debt.
Ian J. Webber: Yeah, we’ve talked about that and you are right, and the time isn’t right, right now, but it is on the laundry list. 
Ross Taylor – Somerset Capital Advisers LLC: Okay. Well, thank you and keep up the good operating work.
Ian J. Webber: Thanks very much.
Operator: There are no further questions Mr. Webber please continue.
Ian J. Webber: Thank you. Thanks everybody for listening. Thanks for your questions and we look forward to giving you further updates on the company for Q4 likely will be early March next year. Thank you.